Operator: Welcome to the Robert Half International conference call to discuss fourth quarter 2008 financial results. Our hosts for today's call are Mr. Max Messmer, Chairman and CEO of Robert Half International, and Mr. Keith Waddell, Vice Chairman, President and Chief Financial Officer. Mr. Messmer, you may begin.
Max Messmer: Hello, everyone, thank you for joining us. As is our custom, I’d like to start by reminding everyone that comments made on this call contain predictions, estimates and other forward-looking statements. These statements represent our best judgment of what the future holds and they include words such as forecast, estimate, project, expect, believe, guidance, and similar expressions. We believe these remarks to be reasonable, but they are subject to risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. Some of these risks and uncertainties are described in the press release we issued today and in our SEC filings. We assume no obligation to update the statements made in this conference call. Now, let’s review our fourth quarter results. Fourth quarter revenues were $990 million. This is a decline of 19% from the fourth quarter of last year or 15% on a constant currency basis. Income per share was $0.26, which is a decline of 48% from the fourth quarter of 2007. Cash flow from operations was $110 million during the fourth quarter with capital expenditures of $18 million. We paid a quarterly cash dividend to stockholders of $0.11 per share for a total of $17 million. We also repurchased 4 million RHI shares during the fourth quarter at a cost of $72 million. There are approximately 9.8 million shares available for repurchase under our Board approved stock repurchase plan. Our results continue to be affected by very difficult economic conditions in North America and internationally. Labor markets across the globe deteriorated significantly during the quarter and this trend continued into the new year. We are faced with a great deal of economic uncertainty right now, but our financial condition remains solid. Our competitive position remains strong, and our experienced field management team is both capable and determined. We reduced our operating expenses significantly during the quarter, and we plan further cost reductions as revenues may dictate. I'm confident in the strength and experience of our team as we navigate these difficult waters. Keith will now provide you with a more detailed look at our fourth quarter financial results. We will leave time for your questions after our remarks.
Keith Waddell: Thank you, Max. I will start with companywide revenues, fourth quarter revenues were $990 million, down 19% from the fourth quarter of last year, and down 15% sequentially. On a constant currency basis, these rates were negative 15% year over year, and negative 11% sequentially. There were 62 billing days in the fourth quarter of 2008 compared with 61 billing days in the fourth quarter of 2007. In the third quarter of 2008, there were 64 billing days. Accountemps fourth quarter revenues were $374 million. This is a 17% decline from the fourth quarter of last year and a 11% decline sequentially on the same day basis. Accountemps is our largest staffing division, accounts for 38% of company revenues. There are 374 Accountemps officers worldwide. Fourth quarter revenues for OfficeTeam were $180 million, down 19% from the fourth quarter of last year, and down 11% sequentially on a same day basis. OfficeTeam is our high-end administrative staffing division with 330 locations worldwide. This division was introduced in 1991 and represents 18% of company revenues. Fourth-quarter revenues for Robert Half Management Resources were $135 million. This is a 19% decline from the fourth quarter of 2007 and also a 11% decline sequentially on a same day basis. This division was introduced in 1997 and places senior level accounting and finance professionals on a project basis. It has 151 locations worldwide and makes up 14% of company revenues. Fourth-quarter revenues for Robert Half Technology were $101 million, down 9% from the fourth quarter of last year, and down 6% sequentially on a same day basis. Robert Half Technology was introduced in 1984 and places information technology professionals on a consulting and full-time basis. This business operates in 112 locations worldwide and accounts for 10% of company revenues. Our permanent placement division, Robert Half Finance and Accounting had revenues of $76 million in the fourth quarter. This is a decline of 36% from the fourth quarter of 2007 and a decline of 28% on a same day sequential basis. This business was established in 1948, operates in 374 locations worldwide. It accounts for 8% of companywide revenues. Fourth quarter revenues for our international staffing operations were $241 million, down 15% from the fourth quarter of 2007 and down 17% sequentially on a same day basis. On a constant currency basis, these growth rates were up 1% compared to the fourth quarter of last year and down 4% sequentially on a same day basis. We have staffing operations in 110 locations in 20 countries outside the US. International staffing operations represent 28% of total staffing revenues. Fourth-quarter revenues for Protiviti were $124 million, down 18% from one year ago, and down 11% sequentially. Formed in 2002, Protiviti is a global consulting and internal audit firm composed of experts and risk and advisory services. It has 62 locations in 17 countries and accounts for 12% of total RHI revenues. Protiviti’s international operations represent 31% of total Protiviti revenues. Now turning to gross margin, fourth-quarter gross margin in our temporary and consulting staffing operations was $292 million or 37% of applicable revenues. This compares to 37.6% of revenues for the fourth quarter of 2007 and 36.7% of revenues for the third quarter of 2008. Lower conversion revenue during the fourth quarter reduced our gross margin percentages, although on a sequential basis, this was offset by lower payroll taxes and workers compensation and insurance charges. Overall staffing gross margin was $368 million for the fourth quarter or 42.5% of staffing revenues. This compares to 44.4% of revenues in Q4 2007 and 43.4% of revenues in Q3 2008. The sequential percentage declines are primarily due to a lower mix of permanent placement revenues. Fourth-quarter gross margin for Protiviti was $34 million or 27.6% of Protiviti revenues. This compares to 32.2% of Protiviti revenues last year and 29.2% of revenues in the third quarter of 2008. Lower revenues during the quarter resulted in lower staff utilization rates. Turning to SG&A costs, staffing SG&A costs for the fourth quarter were $302 million, or 34.9% of staffing revenues. This compares to $354 million or 33.1% of revenues for the fourth quarter of 2007, and $337 million or 33.1% of revenues for the third quarter of 2008. Staffing SG&A costs for the quarter were reduced by $52 million versus one year ago and $35 million sequentially, or 15% and 10% actively. We ended the year with 10,300 full-time employees in our staffing divisions, down 15% from last year. Fourth quarter SG&A costs for Protiviti were $33 million or 26.4% of revenues. This compares to $40 million or 26.3% of revenues for the fourth quarter of 2007 and $37 million or 26.4% of revenues for the third quarter of 2008. Protiviti SG&A costs for the quarter were reduced by $7 million versus one year ago and $4 million versus last quarter, or 17% and 11% respectively. We ended the year with 3,200 full-time Protiviti employees and contractors, down 10% from last year. Operating income from our staffing divisions were $66 million during the fourth quarter or 7.6% of staffing revenues. Temporary and consulting divisions contributed $63 million of this amount or 8% of applicable revenues. Fourth-quarter operating income from permanent placement was $3 million or 3.4% of applicable revenues. Operating income from Protiviti was $1 million during the quarter or 1.2% of revenues. Turning to accounts receivables, at the end of the fourth quarter, accounts receivables were $485 million, with implied days outstanding or DSO of 44.6 days, which compares to 44.2 days at the end of the fourth quarter a year ago. Now let's turn to guidance. Following a few of the trends that we observed in our business during the fourth quarter, and the first few weeks of January 2009, on a same day sequential basis, revenues from all divisions declined each month during the quarter. December was particularly weak. During the first three weeks of January, revenues from our temporary consulting businesses were around 26% compared to the same period last year. For the first four weeks of January, revenues from our permanent placement division were down 56% compared to the same period last year. As we have discussed many times before, it is very difficult to evaluate perm placements trends over short periods of time. Taking into account these trends, and the uncertain economy, we offer the following first quarter guidance. Revenues $840 million to $890 million, earnings per share, $0.05 to $0.10. As you know, we limit our guidance to one quarter. As we did last quarter, we broadened our guidance EPS range this quarter to reflect the current uncertain economic conditions. The estimates we provided on this call are subject to the risks mentioned in today's press release. Now I'll turn the call back over to Max.
Max Messmer: Thank you, Keith. As our financial results indicate, this was obviously a difficult quarter. All of our divisions were impacted by the weakness in the labor markets. Our permanent placement operations experienced the sharpest revenue declines as many businesses reduced full-time staff levels and put hiring plans on hold. Obviously there is a great deal of uncertainty right now with regard to the economy and the nature of our business does not give us much visibility into future hiring trends. We do think we are reasonably well positioned however. We have the benefit of a lot of experience, both at headquarters and in the field. Our field management team has many years of experience and have worked through difficult economic times in the past. We believe our offices are in capable hands therefore. Our field leaders understand the importance of keeping our cost structure aligned with our revenues. In addition, since the majority of our revenues are derived from accounting and finance assignments, as you would expect, most of our senior field managers have accounting or finance backgrounds, and they understand the importance of cost management in difficult economic times. We believe they have the ability to flex costs with revenues. We think we also have an advantage over less established competitors. We believe our reputation, experience and financial position do give us an advantage over local competitors, many of which lack the resources to manage through this difficult cycle. As a result, we are certainly looking to grow market share in many of our markets. We think that our business is uniquely positioned to find opportunities even though the times are challenging. In periods of financial crisis, businesses need accounting and finance professionals to help them discover cost efficiencies and handle rapidly changing priorities. We can locate this expertise for them and assist companies with their staffing needs as they attempt to survive, re-build or merge with other forms. We have formed a global financial crisis team to serve clients in the troubled banking and financial services sector. The team is also helping a variety of other businesses in understanding the new landscape and managing the uncertain times ahead. We have essentially no debt and a cash balance of around $345 million dollars. In the past, we have generated strong cash flow even in difficult economic times. During the last US recession, between 2001 and 2003, RHI generated more than $550 million in cash from operating activities. So we are cautiously optimistic. While recognizing the very challenging environment that now exists, we are optimistic about our opportunities. We believe this is a time when every hiring decision is especially important, and companies can least afford to make hiring mistakes. We think we offer our clients a cost-effective way to access highly skilled talent wins, and as for as long as they require it. At this time, Keith and I will be happy to respond to your questions. We would ask that as useful you please limit yourself to one question and a single follow up as needed. If you have additional questions, we will certainly try to return to you later in the call. Thank you.
Operator: Thank you. (Operator instructions) Our first question comes from Kevin McVeigh with Credit Suisse. Your line is open.
Kevin McVeigh – Credit Suisse: Thank you. Hi, Keith and Max.
Max Messmer: Hi.
Kevin McVeigh – Credit Suisse: Hi, Keith. I wonder if you could just fill down on the guidance a little more in terms of just a little more color around what would be the low end of the range as opposed to the high end of the range, and just how we should think about the buyback relative to the current macro environment? It seems like you’ve bought back about five times as much stock in the fourth quarter versus the third quarter. How should we think about the buyback going forward?
Keith Waddell: Okay. So, first let's talk about the guidance. So at the low-end of the range, what we have done is taken the early January run rate and extrapolated that to the full quarter. And in fact, we have actually assumed that it decline further at the revenue line. At the SG&A line, because we are beginning to see some weakness in Continental Europe, and by the way, for the fourth quarter, in Continental Europe in a constant currency way, we had sequential growth than year over year growth. That was the good news. The not-as-good news is during the quarter we are in, they are starting to see some softening. So given that there is softening occurring outside the United States and the assumption is it going to take us a little longer to adjust our cost structure because of their labor laws than is the case in the United States, we have assumed a little more negative leverage at the SG&A line this time than we had last time. From the standpoint of perm and Protiviti, given those trends, we will have small operating losses for the first quarter, given the trend line, if it continues. In addition to that or above that, there will be some staff reduction cost that will also add to the losses of those two divisions. As to the buyback, as you could see, we did get more aggressive during the quarter. We continue to be very confident about our cash flow generation abilities as we move forward. We are very committed to our dividend as we always have been and we will continue to look at buybacks, quarter by quarter with our Board as we always do.
Kevin McVeigh – Credit Suisse: Great, thanks. I'll get back in the queue.
Operator: And our next question comes from Andrew Steinerman with JPMorgan.
Andrew Steinerman – JPMorgan: Thank you. Hi, gentlemen. Keith, you spoke a little bit about the temp gross margin in the fourth quarter, you said workers comp helped that a little bit, could you quantify that? And temp gross margins seemed to hold up pretty well in the fourth quarter, how do you think they will be going into the first?
Keith Waddell: So the fourth quarter did benefit from our semi annual workers comp adjustment and that was a couple of pennies, Andrew. The thinking is, in the first quarter, the quarter we're in, we certainly won't have that credit. But the bigger story, frankly, is conversions, and if you look over prior downturns, the big issue is conversions, as to what happens to your temp margins. Typically, you lose a couple hundred basis point, principally for reasons of conversions. We have been able in the past to offset the higher payroll taxes including workers comp and unemployment costs that do rise by reducing the pay rates of our temporaries. So, we did have a couple of penny benefit at the gross margin line during the quarter. By the way, we had a penny detriment due to currency. We had another penny detriment due to higher tax rate which related to our foreign subs. Further, we got more conservative with things like our bad debt reserve because of economic conditions. So when all said and done, that extra couple of pennies we got at the gross margin line was more than accounted for other places in the P&L.
Andrew Steinerman – JPMorgan: And how temp gross margin should look in the first quarter, what’s assumed sort of in the range of guidance?
Keith Waddell: Again, the thought is, you probably got a percentage point or a hundred basis points purely for the fringe difference, because of the fourth quarter true ups. Translated, it ought to be down in the neighborhood of 100 basis points.
Andrew Steinerman – JPMorgan: Okay. So you think first quarter temp gross margins should be down year over year a 100 basis points, right?
Keith Waddell: Year over year, not as much as sequentially.
Andrew Steinerman – JPMorgan: Got it. And then could you just tell us where conversions as a percentage of applicable revenues is approximately in the fourth quarter?
Keith Waddell: They have come down to the low-end of our range. Our traditional range is 3% to 5% of revenues and we're down at that low-level. I would also comment that our guidance, particularly for perm placements, essentially assumes that for the past three quarters, we have as much revenue drop-off as we did the entire 2001- 2003 downturn. So clearly, the pace of the decline in perm placement is much more rapid this time than before. That said, on the temp side, it is uncanny how closely the sequential declines in temp this time around are tracking what happened in 2001 and 2002. Now that rate accelerated a bit during January, but still, cumulatively, if you start with the second quarter of 2001 as the first quarter we had negative revenues during that down cycle, and you start with Q3 of 2008 as the first quarter we had negative revenues in this down cycle and you compare the two, you will see that the rate of decline for perm is much more pronounced this time than last, whereas the risk rate of decline for temp is pretty much tracking as it has in the past.
Andrew Steinerman – JPMorgan: Sounds good. Thank you so much for the clarity.
Operator: (Operator instructions) Our next question comes from Mark Marcon with R. W. Baird. Go ahead please.
Mark Marcon – R. W. Baird: Good afternoon. I have a longer-term question that relates to the economic environment. Some people assume that this is a normal cyclical downturn – and by the way congratulations for doing $1.63 in a full year of recession. Some other people assume that this is a different type of recession and that maybe we're going for a reset and that the excess of leveraged that we had across the global economy is coming out, and therefore that we are going to reset to a whole new level. So the question is a broader one which is, if we think that this is a reset, and that we're going to a whole new level, to what extent can you talk about your ability to restructure your operations so that you could still achieve the sorts of margins that you have had back in 2005 and 2006 at those same sort of revenue run rates? Is that possible or have you expanded to a point where it would be difficult to try to achieve those over time?
Keith Waddell: As we have talked in the past, if you look across cycles for the last 25 years, we have always grown one peak to the next. So not only do we come back to the same level as to the prior peak, we come back even stronger. So stipulated that perm placement, particularly this time is declining more rapidly, but one can make the case that therefore there is more upside thereafter. Even in perm placement, it is not that we are without orders. The issue is just as much those orders we have, our clients are damn picky when they go to fill them. So orders haven't dried up. Many companies are saying, we’re to take advantage of this and we’re going to upgrade our staff. Other companies have already cut so low that any time they have a termination, they have to replace it. So we actually have orders in perm, but the close cycle has extended dramatically. But again, back to the long term, we have been around a long time as you know, and we're very confident it will come back. Kind of the pace at which it will come back, we can all argue.
Max Messmer: Just one another footnote to that Mark, we have as we said in prior calls somewhere in the range of 13% to 14% share of what we define as the relevant market here in North America. That would be much smaller internationally, of course. We're watching small to midsize firms get in trouble, struggle. And I am sure, as has happened in prior recessions, we will watch many of these firms go out of business. As I said in my earlier remarks, one of our goals is to pick up market share. My personal opinion as to why we have grown peak to peak in many cases is that we typically are in much stronger condition, both managerially and in terms of financial resources, reputation, longevity, marketing reputation, et cetera, than the competition. So it stands to reason that as the competition shrinks, our opportunity to increase our share of the remaining market increases. As the market itself begins to come back, we're very well positioned to grow much faster than others. And so while there is no guarantee about the future, we fully expect to see a similar scenario play out this time. So I would certainly like to think that we could continue to grow reasonably well even under a prolonged agony situation such as you have described.
Mark Marcon – R. W. Baird: Yes. And I'm not saying that that is my belief, and I have certainly follow you I guess at this point, longer than anybody else, and realize that you have grown peak to peak and you continue to gain market share. I was just wondering, to the extent that people might be concerned that this is a longer downturn, and you have obviously demonstrated this last quarter, how well you are able to pare back your expenses, I'm just wondering if we go through a prolonged period, where it’s – it did take three years during the last downturn before things really started picking back up, if things take long this time around, you know, can you keep managing the expenses as you have been, and is that the philosophy, to try to keep expenses down, so that you can continue to generate a good operating margin over a two-year period? Or would your perspective be, well, we may go into a downturn where things are going to look, be a little bit rougher for a little bit longer, and we will take the lower operating margin, so that we can have – so that we can position ourselves for the upturn when eventually it does come, even if it does take longer than usual?
Keith Waddell: I’d tell you, we have always tried to balance even in prior downturns the objective of having dry powder with capital and experienced staff, with reporting decent returns during a downturn. So we will continue to evaluate that trade-off quarter by quarter. But as we sit here today, we don't see any reason for a sea change and differences in philosophy relative to what we have done in the past.
Mark Marcon – R. W. Baird: Okay, thank you.
Operator: Our next question comes from Jeff Silber with BMO Capital Markets. Your line is open.
Jeff Silber – BMO Capital Markets: Thanks so much. Just wanted to shift gears a little bit more near term, your RH Technology business on a relative basis is doing better than other divisions. I am just wondering what you can attribute that to, and if you think that will continue in the near term? Thanks.
Keith Waddell: Jeff, the tech support that helped as part of that business is hit just like the rest of our businesses. What is holding up better is the tech development or programming part. And just like us internally, companies that have projects in process aren’t shutting them off mid project. And therefore that demand is continuing, particularly if they are cost-cutting, motivated, capital projects on the part of our clients, which many times voice over IP and virtualization to save server cost. Those are two biggies out there that clients are continuing because the justification for doing them is cost-cutting. And while we are talking about capital expenditures, we expect our number to come down to the $50 million range for the quarter for this year, 2009. Over half of that is a carryover of projects in process from 2008, so that come 2010, absent a major change in economic conditions, we would expect the CapEx to come down even further.
Jeff Silber – BMO Capital Markets: Okay great. And then actually I had just a couple of numbers questions, you answered one of them. What tax rate should we be using for 2009? And then in terms of stock-based comp, what are you expecting in 2009, and what did you report in the fourth quarter of 2008? Thanks.
Keith Waddell: Tax rate is going to vacillate a bit. It is probably going to be between 40% and 43%. Stock comp was $17 million a quarter. This quarter, it will probably continue into next year as well. So depreciation and stock comp are roughly the same on an annual basis of about $70 million roughly.
Jeff Silber – BMO Capital Markets: I guess I was talking about stock comp on your income statement.
Keith Waddell: I understand. So it is also about $70 million on an annual basis. It was $16 million or $17 million this quarter.
Jeff Silber – BMO Capital Markets: Okay. All right, great. Thanks.
Operator: Our next question comes from Tim McHugh with William Blair & Company. Go ahead please.
Tim McHugh – William Blair & Company: Yes. I was wondering if you could give some sentiment on the, what you view as the opportunity for cost-cutting as we look over the next year. You mentioned you would start doing some things in Europe, are you halfway through what you are comfortable with in terms of cutting costs, or is it – just give us a relative sense of that? And then as you do that, is there a certain minimum level of profitability you keep in mind? I mean do you manage it such that at a minimum you would like to stay breakeven or modestly profitable during the downturn, and how you weigh that against the longer term considerations?
Keith Waddell: Right. And so as we have talked before, roughly two thirds of our costs are compensation related. Our strategy for managing compensation, we have normal attrition, we have the variable portion of our pay packages on the temp side, that is 25% to 30% on the perm side, that is around 40%. For some people, we are discussing base pay reductions to help us with our cost control, and in other cases, there is actually forced attrition. And as I said during the first quarter, there will be roughly about three pennies a share in staff reduction cost. As to pegging a profitability level, we won’t go below, I mean clearly we are mindful of profitability, clearly we want to be profitable. As I said for this quarter on an operating basis, Protiviti and perm will lose a little bit of money. That is not something we are happy about. And that is also something we are trying to remedy with the cost reductions as we proceed. So it is a quarter by quarter thing. But as we stand today, we certainly don't think we're anywhere close to the point where we are unwilling to cut our cost anymore without regard to revenues. But instead I feel like for the most part, we can continue to run the playbook we have run traditionally.
Tim McHugh – William Blair & Company: Okay. And then can you give a little more color on what you're seeing with Protiviti in terms of the macro environment as well as some of the other growth opportunities?
Keith Waddell: Sure. With Protiviti, the good news is, their renewal rate with their large internal audit clients is excellent. Virtually every major internal audit client that they have has renewed in the last few weeks, if not months. They have also had success with some other solutions. Things I would point out would be security and privacy, application controls for the CIOs, supply chains. Our restructuring practice is doing quite well. We have been named the accountant for the creditors committee in a couple of high-profile bankruptcies that you’d recognize the name of. Further, we have got some finance process optimization work. So they are winning new business, they are renewal old business. The challenge they have is that clients are saying, whereas before you did 80%, we did 20%, now we want to keep more for ourselves. So your hours get reduced. Further, because of the competitive market we are in, you need to reduce your rates. So the combination of a transfer of some of the work back in house, the lower rates, some engagements have been deferred, all put some pressure on Protiviti staff line. For the fourth quarter just ended, it is typically a seasonal up tick for Protiviti. Protiviti reduced its cost direct and SG&A by $13 million for the quarter, which is pretty incredible given its history. Unfortunately, it revenues fell $15 million such that their profitability was impacted by a negative $2 million. But I can assure you two years ago, had they had a $15 million sequential decline in revenue, you would have had a $14 million sequential decline in operating income. So I think they have shown a particular seriousness in managing their cost in a way they never have before. Further, outside the United States, we have also gotten some nice traction. Again during the fourth quarter, their cost reduction actually exceeded the small amount by which their revenues declined. That said, they had a very small level of profitability. And further reductions in revenues, further stressed their profitability, which is why we said earlier, we do expect them to have a small operating loss in the first quarter, which will be exacerbated by further staff reduction cost because again they remain very committed to controlling their costs.
Tim McHugh – William Blair & Company: Okay, thank you.
Operator: Our next question comes from Tobey Sommer with SunTrust Robinson Humphrey. Go ahead please.
Tobey Sommer – SunTrust Robinson Humphrey: Thank you. I was wondering if you could comment on the trends within bill rates and pay rates across – may be broadly across the different segments? In particular, you mentioned, I guess, in just the last questions, pricing pressures on Protiviti? Thank you.
Keith Waddell: Well, so let’s talk overall. On a year over year basis, our bill rates were up 0.5%, so essentially flat. But sequentially the bill rates are actually down 2%. And so the challenge we have on the staffing side is we’ve got to manage the pay rates to our temporaries. As our bill rates decline, we have to turn right around and say to our temporary employees, we can't afford to pay you per hour what we paid you in the past, and because of economic conditions, you have to take a pay reduction. And over prior down cycles, we have successfully pulled that off. Protiviti’s rates are impacted even more and Protiviti’s rates are never something we have disclosed.
Tobey Sommer – SunTrust Robinson Humphrey: And I guess I was curious, when you mentioned the pricing pressure at Protiviti, you are also speaking about restructuring et cetera. I was assuming that that is an area where there is clearly good pricing at this stage? Is that a…
Keith Waddell: Well, absolutely. The good news is, we have got a restructuring practice, they are doing extremely well. They are winning some very high profile accounts, competing with household names. We have a very, very good team. The bad news is, they are a relatively smaller percentage of the total, less than 10%. So it is hard to move the needle with a group that is less than 10% of the total.
Tobey Sommer – SunTrust Robinson Humphrey: Right. And just one point in clarification, you said guidance kind of – inside your guidance is the cost for staff reductions in Europe already embedded in that number?
Keith Waddell: That is correct.
Tobey Sommer – SunTrust Robinson Humphrey: Thank you very much.
Operator: And our next question comes from Andrew Fones with UBS Capital Management. Go ahead please.
Andrew Fones – UBS Capital Management: Yes, thanks. I had a follow up to the last couple of questions. I was wondering if you can tell us what the magnitude of the impact to the cost reductions will be in the first quarter, you are anticipating both perhaps from a impact from the earnings in the quarter from the charges, but also the cost saving? Thanks.
Keith Waddell: And so Andrew, we see around three pennies a share during the quarter from our staff reduction charges. And unless revenues continue to fall off even more significantly than their current pace, that ought to get us back to at or near profitability for Protiviti and perm.
Andrew Fones – UBS Capital Management: Okay, thanks. And then I noticed that – I think you reduced maybe the office count by perhaps one in the fourth quarter from the third quarter. I was wondering if there is plans to further reduce the office count, the number of offices. Thanks.
Keith Waddell: A massive change in office count, as we talked about before, anywhere from a quarter to a third of our leases in any given year are up for renewal. That gives us a chance to reduce square footage, that gives us a chance to reduce rates. But as far as a physical closure of the offices, that is not something we have done a huge amount, nor would I expect us to do a huge amount this time. We've something what we call blend and extend, where we look at our largest leases. And let us say we have got a couple of years to go, we are above market given that current market is still low, we will go back to the landlord and say, let's cut a new ten-year deal, and we will therefore get a blended, much lower rate than our current rate. The landlord gets a ten-year deal, we get a much lower lease rate, and we get a new (inaudible) how much footage that we need. So it is that type of thing that we are more apt to do to reduce our real estate cost than to physically close a branch.
Andrew Fones – UBS Capital Management: Can you tell us how many you have kind of approached in terms of that blend and extend change in the rate?
Keith Waddell: I think you could say all of our major leases that have three to four years or less left on them if they are ten-year leases. We proactively try to manage that cost.
Andrew Fones – UBS Capital Management: Okay, great. Thank you.
Keith Waddell: And our next question comes from Gary Bisbee with Barclays Capital. Go ahead please.
Gary Bisbee – Barclays Capital: Thanks. Can you just give some color on how we should think about your SG&A cost and total cost falling in the first quarter? If we were to assume that this remains a negative revenue environment at current rates throughout much of 2009, is there a level at which you probably stop cutting back the SG&A like you did around this quarter, or is a lot of it – enough of it headcount and stuff that you can continue to cut?
Keith Waddell: Again, compensation of our staff is our largest cost. And we have got the various tranches that I talked about earlier, the variable portion, normal attrition, base pay reduction, additional forced attrition. But as we sit here today, we don't think we are anywhere near close to the point where we would have to say, we're not doing anything a percent below where we are. We are nowhere near there yet.
Max Messmer: Well, our goal is to keep our revenues and our costs in line with each other, and we don't see a limit on that at this point.
Gary Bisbee – Barclays Capital: Okay, great. You mentioned the competitive situation and your ability to gain share. I know you have not been one to do lots of big deals historically, but has your appetite for M&A increased? Are there sort of – holes is the wrong word, but areas in your offerings that you would like to opportunistically add to, or is it much more, the smaller guys are in worse shape than you see you are going to take share out?
Keith Waddell: We are always looking for geographies to fill in where we are not as strong as we would like to be. We are always looking for functional areas where we don't participate to the extent that we would like to. And we always evaluate buying another staffing firm relative to buying Robert Half as a staffing investment. So it is not just an absolute decision, it is a decision relative buying Robert Half. So all those things have to be considered because it is kind of a risk adjusted return that you are looking at when you're looking at buying other staffing firms versus buying yourself.
Gary Bisbee – Barclays Capital: Okay. And then just one last one, when you were talking about the employee count, Protiviti, I noticed that you said full-time employees and contractors. Has there been any change in the mix of those? I know that you talked over the last year about potentially going toward more contractors and less full-time, is that still future opportunity? And I guess also, would you go to any of your full-time people and sort of approach them and say, this is a tougher environment, would you consider being project by project contractor versus full-time? Thank you.
Keith Waddell: Well, as Protiviti’s revenues have fallen off, it's use of contractors have fallen off as well, because that was considered a source of variable cost labor. The long-term model for Protiviti is to always have a tranche of variable labor, including contractors, and just as it’s flexed to some degree with the contractor base it has had so far, it continues to plan to have that in the future, hopefully to an even larger degree. And having staff you would otherwise lay off, convert to contractors, is one of the things that is being contemplated.
Gary Bisbee – Barclays Capital: Okay, thank you.
Operator: And the next question comes from Jim Janesky with Stifel Nicolaus, go ahead please.
James Janesky – Stifel Nicolaus: Hi. Yes, Keith, just a little bit of clarification on what you termed as staff reduction. I mean is that severance and other charges that you do expect to be one-time in nature rather than some permanent, or at least permanent in terms of the current economic environment decline in profitability?
Keith Waddell: Well, they would be related, and they would be related to a significant reduction in headcount. That is much more than what a typical production in headcount would look like. So I hope it is one-time, and that we don't have to have those kind of reductions again, but you don't know that.
James Janesky – Stifel Nicolaus: Okay. And will it flow both through gross margins and SG&A?
Keith Waddell: It will – for Protiviti, it will flow through both. For staffing, it will be principally through SG&A.
James Janesky – Stifel Nicolaus: Okay. Your comments about, and correctly so about the labor environment internationally, especially on continental Europe versus the United States and how it is more difficult to reduce your cost structure there versus the United States or the domestic market, is that something that as the international segment of your revenues has become now about a third, that can have an effect throughout the entire cycle of the cost structure, and that you might have to operate with a lower cost structure than if you were entirely domestic?
Keith Waddell: I think it more than likely reflects it takes you a little longer to accomplish what you might have accomplished in the United States on a more condensed timeframe. And I think it means you have got a little larger one-time cost, to use your term, when you have to do some downsizing than would be the case in the US. But I don't see it structurally changing overall how we would react in a downturn. It is just a little more expenses, and it takes just a little longer. The UK, which is probably the most difficult economic environment we have right now in the globe, is not near what it is like in the continent as far as adjusting your cost structure. It takes a little longer, but it is not necessarily that much more expensive. When you go over to the continent, it takes a little longer and it is more expensive.
James Janesky – Stifel Nicolaus: Okay, thank you.
Operator: Our next question comes from Paul Ginocchio with Deutsche Bank. Your line is open.
Paul Ginocchio – Deutsche Bank: Thanks for taking my question. Can you just comment on maybe some of your other major European markets like Belgium, Germany and France, and how they trended in the quarter relative to the third? Thanks.
Keith Waddell: And so, the good news is, on the continent, as I had said, we had, on a constant currency basis, we had sequential growth. And we had year over year growth, and our big three are Belgium, Germany, France, in that order. They did very well for the quarter in its totality, but clearly conditions deteriorated over the course of the quarter, such that for the quarter we are in, we would expect negative sequential growth in a constant currency way for all three countries.
Paul Ginocchio – Deutsche Bank: And of those three, any – they are all about the same or is there any divergence between the three?
Keith Waddell: I would say Belgium and Germany are a little stronger than France.
Paul Ginocchio – Deutsche Bank: Thanks very much.
Operator: (Operator instructions) Our next question comes from Vance Edelson with Morgan Stanley. Go ahead please.
Vance Edelson – Morgan Stanley: Hi, thanks a lot. Just a follow up on the market share commentary, do you have any feel for recent market share trends at the margin? In other words, do you feel you're already starting to take some share, or is this more something that you hope for as the cycle plays out? Thanks.
Keith Waddell: I think it is more a reflection of what we know from prior down cycles as to what happens, and this is playing out. We are beginning to see smaller businesses, smaller competitors go out of business as we speak. And by default, there are a fewer other standing, and there are some market share gains you get from that. We don't have a metric that we measure the last week that we can quote here.
Vance Edelson – Morgan Stanley: Okay. That is helpful. Thanks.
Operator: last question comes from Mark Marcon with R. W. Baird. Go ahead please.
Mark Marcon – R. W. Baird: Wondering if you could talk about couple of things. One, just because of the environment being as bad as it is, you mentioned bad debt expense was up. What are you seeing in terms of that level of experience with your small and medium-size businesses, and do think it is going to be materially different this time than last time?
Keith Waddell: It is interesting. What we have seen so far, there is very little difference between this time and last time. That said, because of the expectation that conditions are going to get worse, we subjectively added money to our bad debt reserves. We didn't have to, and it wasn't because of a write off trend we're actually seeing, it is more because we thought it was appropriate to be conservative given overall economic conditions. As to, and we are talking about receivables, we actually went back for the twelve quarters during 2001, 2002 and 2003 during the last cycle and compared the change in revenues to the change in receivables. And they track remarkably closely, which means as you – at least during the last cycle, particularly during the last cycle, as revenues come down, so do your receivables which becomes cash. And if you look at the last couple, three quarters, during this down cycle, our receivables have also come down in lockstep with revenues, which the good news is, the cash flow will benefit significantly from the reduction in receivables, from the non-cash charges related to stock compensation, and the fact that you won’t spend all of your depreciation on CapEx. So from a cash flow standpoint, the numbers look hell of a lot better than they do on a pure earning basis.
Mark Marcon – R. W. Baird: And they usually do during these time periods, which gives you more ammo to buy stock when prices are down. Can you also talk a little bit about Protiviti with regards to what are you seeing in terms of IFRS, any change from the current administration and what your expectations are there?
Keith Waddell: IFRS, because the compliance date is 2014 and out, as companies are looking to control their costs right now, IFRS isn't the number one item on many companies' dockets. And so whereas there are some analysis of technical requirements of GAAP versus IFRS, that isn’t the lion share of the work. The lion share of the work would be the controls changes, the process changes, the documentation that has to come, and that is out some. Interestingly though, when you talk about administration changes, in the last couple of days, the new Chairman of the SEC, Ms. Shapiro, indicated that it was time for the small cap companies to comply with Sarbanes-Oxley. As you know, they have gotten numerous passes in the past, and she came flat out and said in the last two or three days, it is time for them to comply when they – and 2009 is the year where they are supposed to first get an audit of their controls. So there could be some meaningful demand if in fact that falls through which we will be uniquely positioned to deal with between Management Resources and Protiviti. So we were encouraged. In that same release, there is discussion of on a non-audited basis, these companies reported about their controls last year, and I believe 30% of them reported that their controls were not adequate. And that percentage was more than double the similar percentage when large companies first reported several years ago, the point being, these smaller companies have more controls issues than large companies did, and there is some work to be done. So it will be interesting to see whether that follows through the way she says, but we certainly took note of her comments.
Mark Marcon – R. W. Baird: How are you going to manage that, because on the one hand, you're trying to reduce expenses in order to get to profitability, but it sounds like there is a pretty big carrot [ph] out there?
Keith Waddell: I can assure you we believe we have the people power, the phone power, and the message between Protiviti and Management Resources to, A, get the message out there; B, come up with a strategy as to how they comply, and by using both Management Resources and Protiviti, do it in a cost-effective way.
Max Messmer: Just two points, smaller companies are less likely to have the internal capability to do much of this work themselves, so we are uniquely positioned to help. And we have talked a lot about aligning our cost structure with our revenues as revenues decline, but just so we're clear, we are all for the revenues going up, and we are more than confident we can handle the costs on the way back up as well.
Mark Marcon – R. W. Baird: Understood. Thank you.
Max Messmer: Thank you. I think that's all the questions we have time for today. Thank you for your interest, and we appreciate your time.
Operator: Thank you. This concludes today's teleconference. A taped recording of this call will be available for replay later this evening through 8 PM Eastern on February 4. The dial in number for the replay is 800-839-5685, or for outside the United States, country code plus 1402-220-2567. Once again the number for the replay is 800-839-5685, or for outside the US, country code plus 1402-220-2567.This conference call will also be archived in audio format in the Investor Center at www.rhi.com.